Operator: Hello, and welcome to the Caladrius Biosciences First Quarter 2020 Financial Results and Business Update Conference Call. [Operator Instructions]. As a reminder, this call is being recorded today, Thursday, May 7, 2020.I will now turn the call over to John Menditto, Vice President of Investor Relations and Corporate Communications at Caladrius. Please go ahead, sir.
John Menditto: Good afternoon, and thank you all for participating in today's call. Joining me today from our management team are Dr. David Mazzo, President and Chief Executive Officer; Dr. Douglas Losordo, Chief Medical Officer; and Joseph Talamo, Chief Financial Officer. Earlier today, we issued a press release announcing our 2020 first quarter financial results. If you have not received this news release or if you would like to be added to the company's e-mail distribution list, please e-mail me at jaymenditto@caladrius.com.Before we begin, I will remind you that comments made by management during this conference call will contain forward-looking statements that involve risks and uncertainties regarding the operations and future results of Caladrius. I encourage you to review the company's filings with the Securities and Exchange Commission, including, without limitation, its Forms 10-K, 10-Q and 8-K, which identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements.Furthermore, the content of this conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, Thursday, May 7, 2020. Caladrius Biosciences undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call.With that said, I will now turn the call over to Dr. Mazzo. Dave?
David Mazzo: Thank you, John, and good afternoon, everyone, and thank you for joining us on today's call. As with many things during the COVID-19 pandemic, the organization of our quarterly call has been adjusted to accommodate to work remotely and practice social distancing rules.For the first time, the Caladrius participants to this call are not in a common location using a common phone line. We sincerely hope that there will be no technical issues, but ask for your indulgence in advance if there are any. Also, in recognition of these unprecedented times, I'll start by wishing you, your families and all your loved ones and friends, the best possible health now and in the future. Please stay patient and safe as you conduct your daily activities, and we join you in looking forward to returning to a sense of normalcy in the hopefully not-too-distant future.And now to our business. Today, I am pleased to provide a business update on our CD34+ cell technology-based clinical development programs, especially our newest program, CLBS119 for the treatment and repair of COVID-19-induced lung damage. In that regard, I've asked Dr. Doug Losordo, our Chief Medical Officer to join us to provide some more specifics on the rationale for the program and why we believe this will be a much needed treatment for patients who survived COVID-19. I will then provide an update on our portfolio of ongoing programs, including CLBS12 as a treatment for critical limb ischemia, CLI in Japan; CLBS16 for the treatment of coronary microvascular dysfunction, CMD; and CLBS14 for the treatment of no-option refractory disabling angina, NORDA.But before I go through the programs, I'll turn the call over to our CFO, Joe Talamo, for his review and commentary on our quarterly financial results as well as our recent funding activities since the close of the first quarter. Joe?
Joseph Talamo: Thanks, Dave, and good afternoon, everyone. I'm pleased to provide a review of our first quarter financial results along with 2 notable funding events in April that significantly strengthen our balance sheet and extend our cash runway. Overall, our net loss for the first quarter of 2020 was $4 million or $0.38 per share compared with $4.4 million or $0.44 per share for the first quarter of 2019.Research and development expenses for the first quarter of 2020 were $1.5 million, a 26% decrease compared with $2 million for the first quarter of 2019. Research and development expenses in both periods focused on the advancement of our ischemic repair platform. More specifically, during the first quarter of 2020, our R&D expense continued to focus on our ongoing registration eligible study for CLBS12 in critical limb ischemia in Japan along with final expenses for our ESCaPE-CMD study with CLBS16 in coronary microvascular dysfunction.Dave will discuss next steps for CLBS16 shortly. General and administrative expenses, which focused on general corporate-related activities, remained flat and were approximately $2.6 million for both the first quarters of 2020 and 2019.Turning now to our balance sheet and cash flow. As of March 31, 2020, we had cash and cash equivalents of $20.7 million, working capital of $16.6 million and an operating activities cash burn of $4.2 million for the first quarter of 2020. We continue to manage operating cash burn effectively at under $5 million for the past 4 consecutive quarters even while we advance our research and development programs.In addition to cash conservation, we have taken measures to add cash to our balance sheet to provide even more financial security for our company. For example, in recent weeks, we closed on 2 noteworthy transactions that significantly strengthen our balance sheet and cash runway.On April 22, we once again demonstrated our ability to acquire nondilutive capital when we closed on the sale of a portion of our New Jersey net operating losses, netting $10.9 million of nondilutive capital pursuant to the New Jersey Economic Development Authority Technology Business Tax Certificate Transfer Program. This program enables qualifying New Jersey-based biotechnology companies to sell a percentage of their New Jersey NOLs to unrelated, qualifying corporations. Companies are eligible to participate in this program up to a lifetime -- for a gross lifetime benefit of $15 million, and we will continue to seek participation in this program in future years up to the lifetime cap, subject to our continued eligibility. This transaction will be recognized in our second quarter financial statement as a benefit from taxes and a credit on the tax provision line item.On April 23, we also closed on a $5 million registered direct offering priced at the market. Under the terms of the offering, we sold approximately 2.2 million shares of common stock to several institutional and accredited investors at a purchase price of $2.3125 per share, along with 50% unregistered warrant coverage at an exercise price of $2.25 per share.We are pleased to have closed on this registered direct offering with the at-the-market terms given the current volatile public market landscape and in light of the difficulty that many companies are encountering in maintaining new capital. We're also pleased to welcome several new institutional shareholders to our company, and we'll continue to pursue opportunities to broaden our stockholder base as we seek to fund our growing pipeline. With these 2 recent influxes of capital, we currently have cash and cash equivalents of approximately $34 million.As we plan to initiate 2 new studies in 2020, a proof-of-concept study for CLBS119 for the treatment of -- and repair of COVID-19-induced lung damage; and a Phase IIb study for CLBS16 in CMD, we are projecting our operating cash burn, excluding the New Jersey NOL sale proceeds to average approximately $5 million to $6 million per quarter for the full year of 2020. Overall, we remain confident that our current cash balance will fund our operations into the second half of 2021.With that, let me turn the call back to Dave.
David Mazzo: Thanks, Joe. As I have done on previous calls, I will begin by providing a high level summary of what we are doing at Caladrius and why we believe our development programs are increasingly relevant and attractive investment opportunities today. Caladrius is focused on the development of cellular therapies designed to reverse, not manage, disease, and we have late-stage clinical programs underway based on a large database of human clinical data. Our therapies to date have been shown to be effective and durable with the pristine safety profile and present the possibility of substantial pharmacoeconomic benefit. Most importantly, we are working on products with the goal of providing patients with a single administration, personalized curative therapy rather than one that requires frequent chronic readministration.Our CD34+ cell technology has led to the development of therapeutic product candidates designed to address diseases and conditions caused by ischemia, a condition in which the supply of oxygenated blood to healthy tissue is restricted. Previously published preclinical and human clinical studies have demonstrated that the administration of CD34+ cells induces angiogenesis of the microvasculature, that is that these cells prompt the development of new blood capillaries thereby contributing to the prevention of tissue death by facilitating blood flow to the area of ischemic insult. We believe that several conditions caused by underlying ischemic injury can be improved through the application of our CD34+ cell technology, including, but not limited to, COVID-19-induced lung damage, critical limb ischemia, coronary microvascular dysfunction and refractory angina.We believe that thousands of patients globally who have survived COVID-19 will return home with long-term effects of this terrible disease manifested as a debilitating lung damage. Many companies are searching for treatments for the acute effects of the virus and for a vaccine that thwarts infection altogether. However, Caladrius has taken a leadership position in helping those patients who have beaten the virus that have suffered potentially permanent lung damage in the battle.I will now turn the call over to Dr. Doug Losordo, the Caladrius Chief Medical Officer and our Executive Vice President of R&D, to present the details of our CLBS119 program. Doug?
Douglas Losordo: Thank you, Dave, and it's a pleasure to speak with all of you today and touch on this very exciting opportunity to utilize our technology to potentially reverse the lung damage caused by COVID-19. Initial evidence from the pandemic indicates that a large portion of the survivors of COVID-19, who required ventilatory support will suffer long-term debilitating lung damage. In the aftermath of the first SARS epidemic, it was well documented that the coronavirus target cells that express CD34. The resulting depletion of that cell population in the lung is thought to be connected to the lung's inability to repair itself. Furthermore, in the COVID-19 pandemic, emerging evidence indicates that the endothelial cells that line the microvasculature of the lung are targeted by the virus and that the destruction of the lung microcirculation may be a critical factor in the inability of the lung to repair itself even after the virus has been eliminated.Previous clinical trials and preclinical models have shown that CD34 cells act in a regenerative capacity in multiple organs, including models of severe lung damage. Moreover, there is evidence in preclinical models that restoring microvascular function can trigger and sustain a regenerative process in the lung. Therefore, we have opened an IND, agreed with FDA on a protocol and begun manufacturing preparations with the intention of initiating a clinical trial as quickly as possible to evaluate CLBS119, our autologous CD34 cell therapy, as a treatment to restore lung function, specifically in patients who experienced a severe case of COVID-19 and required ventilatory support due to respiratory failure.We look forward to reporting enrollment of the first patient very soon and providing updates on the results of what we hope is a very promising outcome for these patients who have suffered through this terrible disease.With that, I will now turn the call back over to Dave.
David Mazzo: Thanks, Doug. I will now touch on the other exciting programs in our pipeline. Among others, our CD34 cell technology has spawned the development of our product candidate for the treatment of critical limb ischemia, CLBS12, which is currently the subject of a registration-eligible clinical study in Japan.CLI is characterized by a severe obstruction of the arteries that significantly reduces blood flow to the lower extremities, principally the feet and legs and represents the end stage of peripheral arterial disease. CLI patients often experience severe rest pain, limited mobility, nonhealing skin ulcers and, if not successfully treated, eventual amputation. Please note that it is a well-documented, but not well-known fact that CLI patients have a higher mortality rate than patients with most cancers.CLBS12 was awarded a SAKIGAKE designation from the Japan Ministry of Health, Labor and Welfare for the treatment of CLI. The SAKIGAKE designation is a regulatory designation akin to an RMAT designation in the United States and affords the recipient prioritized regulatory consultation a dedicated review system to support the development and review process, including the option of a rolling J-NDA submission as well as reduced review time of 6 months for the CLBS12 registration application once filed.CLBS12 is also eligible for early conditional approval and possibly full approval based on the compelling nature of the complete data from our ongoing prospective, randomized, controlled, open-label, multicenter study in CLI patients in Japan. In addition, the European Medicines Agency granted CLBS12 advanced therapy medicinal product or ATMP classification for the treatment of CLI. ATMPs are defined as medical treatments that are based on genes or cells and are intended as long term or permanent therapeutic solutions to acute or chronic human diseases at a genetic, cellular or tissue level. This regulatory achievement sets the stage for us to work closely with European regulators to define the most expeditious development and regulatory plan to registration of CLBS12 in the EU.The ongoing study in Japan comprises subjects divided into 2 cohorts, a 30-subject group with traditional arteriosclerotic CLI and a 7-subject group with Buerger's Disease, a type of CLI often associated with heavy smoking. Those subject to a randomized treatment are dosed with CLBS12 in a single treatment through a series of intramuscular injections in addition to receiving standard of care pharmacotherapy. Subjects randomized to the control arm only receive standard of care with drugs approved in Japan, including antiplatelet agents, anticoagulants and vasodilators, the choice of which is made by the investigators according to the protocol. The study allows for the rescue of subjects in the control arm by indicating the crossover to treatment if their CLI is deemed to be progressing. The primary objective of this study is to show that CLBS12 can prevent the serious consequences of CLI by reverting the patients to a CLI-free condition through improved blood flow in the affected limb. CLI-free status is defined as 2 consecutive monthly visits in which rest pain is absent and previous nonhealing skin ulcers are completely healed as determined by an independent adjudication committee.As previously reported, and as you can review in our corporate presentation on our company website, the responses observed to date in the Buerger's disease cohort are very positive and consistent with the beneficial therapeutic effect and safety profile as reported by previously published clinical trials in Japan and the United States.For patients with Buerger's disease, amputation and even death are likely outcomes and no available pharmacotherapies prevent amputation. However, subjects in the fully enrolled Buerger's disease cohort in our study have achieved a remarkable remission rate of 57%, meaning that 4 of the 7 subjects have now met the primary endpoint and are CLI-free. It is worth repeating that the natural history of Buerger's disease patients is continued disease progression, often leading to amputation. So our data are extraordinarily positive. We are very encouraged by the study results to date and believe that they suggest a positive outcome for the overall trial, recognizing, however, that the final conclusions of the trial will be dependent on all data from all subjects.Enrollment in our trial continues to progress, though like most companies executing clinical trials around the world, we are experiencing a slowing of enrollment that is unpredictable in its rate and duration. However, we are very encouraged by the patient prescreening pipeline that has been identified, and we hope to conclude the trial enrollment rapidly once the coronavirus abates, and physicians are again able to treat non-COVID-19 patients. That said, our current best estimate is that we will complete patient enrollment during the second half of this year.With this delay, the timing of availability of top line data for the full study will likely shift into the first half of 2021, leading to an earliest possible approval in Japan in late 2021 or early 2022.Regarding commercialization, our strategy remains to license a partner CLBS12 in Japan. To that end, our conversations continue with prospective partners, and we continue to seek to consummate a deal in concert with the completion of the study, if not before.Turning now to CLBS16, our promising CD34 product candidate for the treatment of coronary microvascular dysfunction. Like all of our CD34+ cell therapy product candidates, CLBS16 uses a proprietary and patented formulation of CD34+ cells, specifically designed for an injection at/or near the site of ischemic insult, which, in the case of CMD, is an infusion into a coronary artery. CLBS16 is the subject of the recently completed ESCaPE-CMD trial, a 20-patient proof-of-concept clinical trial evaluating CLBS16 as a treatment for coronary microvascular dysfunction, a disease involving damage to the tiny arterial blood vessels, the micro circulation in the heart with no discernible large vessel blockages.Despite the absence of large vessel disease, CMD patients have an equally poor prognosis related to major adverse cardiac events and death as do patients who have identifiable large vessel blockages. But because obvious large artery blockages aren't seen, CMD is often underdiagnosed, misdiagnosed and/or untreated. It also should be noted that CMD is more frequently encountered in females, making this an important emerging women's health issue. CLBS16 is designed to address and reverse the underlying pathology of CMD by employing the CD34 cells' innate ability to increase microcirculation and thereby improve symptoms and hopefully improve the long-term outcomes in patients with coronary microvascular dysfunction.In November 2019, at the American Heart Association scientific sessions, we reported the data for those patients, 17 of 20, who at the time, had completed their 6-month follow-up visit in our ESCaPE-CMD study. The data showed highly statistically significant improvement in coronary flow reserve correlating with symptom relief for patients with CMD after a single administration of CLBS16. The results of the ESCaPE-CMD trial are not only important for defining the next development step for CLBS16, but they provide the first direct quantitative evidence in humans corroborating the mechanism of action of CD34+ cells, something which is supportive of all of our programs. These initial results were outstanding, and we look forward to reporting complete study data and conclusions next Thursday, May 14, at the SCAI 2020 Scientific Session's virtual conference. We expect to advance the CLBS16 program to its next clinical development step, a Phase IIb study, in the fall of 2020 with actual timings being driven by the impact of the COVID-19 pandemic on clinical trial initiation and execution.Moving on to our Phase III-ready CD34+ cell therapy product candidate in the United States, CLBS14. CLBS14 is being developed to address no-option refractory disabling angina or NORDA by stimulating the growth of a new microvasculature in an oxygen-deprived heart in those patients who have had large vessel disease treated with all available therapies, but still have debilitating angina likely due to microvasculature deficiency.Our confidence in this program is based on a series of published Phase I, II and III study results that indicate a consistency of therapeutic effect of CD34+ cells to increase exercise tolerance, improve heart function and decrease long-term mortality associated with the condition.As mentioned on our last quarterly call, we finalized with FDA the protocol design for a confirmatory Phase III trial to support the registration of CLBS14 for NORDA in the U.S.Due to the projected cost of the study, however, we have deferred its initiation in the United States pending confidence that we have acquired sufficient capital to fund the study to completion. Among the possible sources of capital are nondilutive grants and/or partnerships, both of which we are pursuing vigorously.And finally, I will simply reiterate our excitement for our CD34+ cell therapy program, CLBS119. As Doug just mentioned, we believe that CLBS119 could offer a potential treatment to repair severely damaged lungs in patients who have recovered from COVID-19, but continue to suffer debilitating lung effects. I'm especially proud of the progress our team has made in contributing to addressing the medical challenges presented by COVID-19.In short order, we have identified an unmet medical need; formulated a potential therapy to address that need based on sound science and biology; prepared, filed and achieved FDA agreement on an IND and proof-of-concept protocol; and initiated activities to make ready manufacturing to support the study. Enthusiasm for our trial in the medical community is high, and we look forward to enrolling our first patients as soon as possible and eventually sharing the results with you.So in closing, we are very pleased with the corporate and development achievements made in the first quarter. It is especially noteworthy that during these uncertain financial times, we have almost doubled our cash reserves, mostly from a nondilutive source and have initiated a clinical program directly relevant to the medical challenges presented by the COVID-19 pandemic. We expect to build on this momentum as we continue to advance our clinical development pipeline and strive to achieve a number of important development milestones throughout the balance of the year. More than ever, our experienced, dedicated and passionate team remains committed to the advancement of our programs as we work to bring innovative treatment options to patients in need and restore human health.And with that overview, operator, we're ready to take questions.
Operator: [Operator Instructions]. And your first question comes from Joseph Pantginis of H.C. Wainwright.
Emanuela Branchetti: This is Emanuela calling for Joe Pantginis. I was wondering if you can give us a little bit more details about the design of the trial concerning CLBS119? Specifically, can you explain a little bit more about the target population? I guess I didn't understand, like are you targeting patients on ventilators or patients that came off ventilators? Also, like I was wondering, what's the route of administration of the therapy. And what are the end points of the trial? And how long do you think you need to see improvements for -- to be significant for the trial.
David Mazzo: Thanks, Emanuela, and I appreciate you joining and asking that question. I'm going to turn that over to Dr. Losordo, our Chief Medical Officer. He's obviously been intimately involved in the design and can give you the answers to the questions you just asked. Doug?
Douglas Losordo: Thanks, Dave, and thanks for that question. So I'll try to hit all the points that you asked about. Maybe I'll start in reverse order, route of administration. So as Dave mentioned, and as you probably know, most of the work that we've done using CD34 cells for tissue repair have been targeting the heart. And one of the challenges of delivering cells to the heart is that there's not a very simple route to get there.We initially tried in the laboratory an intravenous fruit of delivery. And we were frustrated to see that most of the cells ended up in the lung of the preclinical models. That, of course, is not a disadvantage here. And so we're able to take advantage of the fact by -- about -- take advantage of the fact that a simple IV administration of the cells will lead them directly into the lung. There's actually pretty good imaging data that's been done in the past that shows with labeled cells, obviously, in preclinical models that an intravenous route of administration is a very efficient way to target the lung. In terms of the patient population, of course, there's -- there are an array of ways that we could initially evaluate bioactivity.We've decided to start our investigation in patients, as you mentioned, who have had respiratory failure, who required ventilatory support, but who have come off the ventilator. So patients who are not still chronically ventilated. Those chronically ventilated patients, I think, will be an excellent target. But in terms of our first attempt to collect evidence for bioactivity. We thought that the patients who are still sick, but actually off the ventilator and therefore, able to do things like some pulmonary function testing and so forth, will probably have a more efficient way for us to collect information on bioactivity in this first cohort of patients. In terms of how long we expect to have to wait to see evidence for bioactivity. I can't really cite any data in the lung, but I can tell you from all of our previous studies, in cardiac applications and critical ischemia, it's pretty typical for 2 to 3 months to elapse before patients start to experience symptomatic benefit. And so that's my estimate of the time frame after the single administration when we would start to be able to register benefit in these subjects. I hope that hit all the points that you were asking.
David Mazzo: And Emanuela. If I may, I just want to make a clarifying statement just so there's no confusion at all with some of the other listeners. The patients that we're treating were on ventilators are now off ventilators. And so we don't expect to have to wait 2 or 3 months of people on ventilators to see a result. This is all people who have been removed from ventilatory support, have been considered freed of the virus, but have a long-term debilitating lung damage, which is being treated by ourselves. I just wanted to make sure that, that's clear.
Emanuela Branchetti: Sure. Yes. I guess just the last thing that is not clear to me are the like specific measurements you're going to use for the trial. Like lung function versus imaging?
Douglas Losordo: Yes. So good question. And I would say, if there's an assessment that might give us information about the effect of the cells on the lung, you can be sure that we'll measure it. I mean, very simple things, of course, like measuring oxygenation. In patients who are still in the hospital, the oxygen level is probably the most sensitive indicator of how well the lung is functioning. And if patients are requiring supplemental oxygen then something that was repairing lung should result in a decrease in their need for supplemental oxygen.So that's a very sensitive and important indicator. But then other things like you mentioned, lung imaging. These patients -- the vast majority of patients who end up on ventilatory support have infiltrates visible in the lungs. And the very tough thing about this type of condition is that those infiltrates, which may be inflammatory in nature initially, can evolve into fibrotic infiltrates. And so one of the things that we would hope for with a successful therapy and reconstituting the microcirculation is that those inflammatory infiltrates don't mature into fibrosis, but rather return to normal lung parenchyma. And so the resolution of infiltrates is something else -- something that we'll also look at. We'll look at lung diffusion capacity, pulmonary function testing, when patients are able to perform those tests. We'll look at inflammatory biomarkers as an indication of the overall inflammatory state of the patient. These patients will -- well, many of them have -- still have elevation of inflammatory biomarkers. So pretty much anything that you can think of that would be abnormal in these patients as an indication of lung function is something that we'll follow.
Operator: And your next question comes from Pete Enderlin of MAZ Partners.
Peter Enderlin: A couple of follow-ups on 119. You mentioned somewhere that there's some indication that deficiency of CD34 cells makes people more susceptible to the effects -- the severe effects of coronavirus. So does that suggest the potential for some kind of a preventive regimen with this kind of a technology for the coronavirus or some similar virus?
David Mazzo: Pete, it's Dave. Thanks for your question. And I think we will not be exploring prophylactic treatment using a cell therapy at this time. I don't know that, that would actually be an appropriate thing to do, not knowing which patients are going to be getting the disease and which of those patients who do get it, are going to end up with severe lung damage. So I think our initial experiments will be focused on those patients who clearly have had lung damage due to COVID-19 induced and ventilatory support. And we'll follow-up from there.
Peter Enderlin: Okay. And would you characterize this trial that you're envisioning as a Phase IIa?
David Mazzo: Well, it's hard to -- the phase here is a little bit of a technicality, I guess. I mean, it's not going to be in healthy volunteers. It'll be done in patients. So I guess it's clearly not a Phase I trial in the traditional sense. But it is a proof-of-concept trial, but it's going to be designed specifically to look at a small number of patients initially, probably without a control, but we'll see. And so that may make it a IIa trial or in some cases, if we have a variety of doses of cells that are given to each of the different patients by virtue of the number of cells that they actually produce, it may end up being considered a small dose-ranging study. So I think you can view it as a proof-of-concept trial in patients.
Peter Enderlin: What do you see, Dave, as a potential for nondilutive funding for that trial?
David Mazzo: I think there's a fair amount of potential. I mean, since the pandemic has become widespread and taken over our daily lives, the U.S. government, international governments and a number of scientific and professional organizations have either diverted existing funds or designated new funds to be available to support research in these areas through grants and a number of other types of activities, whether it be participation from sites for free, et cetera. So we're exploring all of those things. As you can imagine, the list of companies looking to capitalize on the availability of that nondilutive funding is quite long. And I think initially, a lot of the attention has gone to folks working on vaccines, as you might expect, and those trying to treat the people with acute effects to keep them alive. But as time goes on, I think there'll be a broadening of opportunities. And I hope that we'll be able to take advantage of that. Doug and our R&D team have a really stellar record of being able to gain awards of nondilutive funding from a wide variety of sources, and we hope that we'll be able to do the same thing here.
Peter Enderlin: Some financial questions, if I can. Joe, can you say who participated in the registered direct?
Joseph Talamo: So we had Lincoln Park participate there with our equity line of credit. So they were a participant in [indiscernible]. So they made out the investors.
Peter Enderlin: And are there restrictions on when they can sell the stock?
Joseph Talamo: No, this was a registered direct. So they have -- they can sell the stock when issued. The warrants that were issued in this transaction are unregistered. So they will have to be registered in order for those to be exercised.
Peter Enderlin: Is there anything you can say about the specific timing of this. I mean, you just had -- raised a nice slug of other money through the New Jersey sale. And the stock popped up a little bit and then you took advantage of that, but it was still a fairly depressed price when you consider the value of the warrants, it's probably an all-in effective financing at about $2 a share.
Joseph Talamo: Well, we were pleased with the at-the-market terms that we were able to get. We think, relative to what's in the market and the amount of cash we can bring in at this time, it was a very good deal for us and one we wanted to take advantage of right now. So we feel it positions us quite well. It brings in additional shareholders into the stock. And as we look to expand our pipeline, it will help us fund and continue moving forward and expand the pipeline.
Peter Enderlin: And then one more on...
David Mazzo: Pete, let me add to that as well. Hold on, just let me -- just add a little bit to that as well because I think it's an important point. After we announced the NOLs, our major banking collaborator, H.C. Wainwright, actually contacted us with this deal. And they suggested that an intraday deal was possible with these folks. There were actually several deals presented, some of which had less attractive terms, but there was interest in accumulating Caladrius stock based upon the announcements that were made. And given the uncertainty in the financial markets, I think we had no choice but to execute on that deal. And in fact, we're very pleased that we did. Many companies are having very difficult times finding existing capital right now. And so to do a deal essentially at the market with the 50% warrant coverage, which is well below market terms for micro-cap companies right now who are often doing things with severe discounts and sometimes 100% in some recent deals, 200% more coverage. This was a good deal and to pick up an additional $5 million in working capital made a lot of sense for the company to extend our runway and to give us the opportunity to continue to generate data, which will be value creating for the company.
Peter Enderlin: Okay. And can you say about what proportion of the New Jersey NOLs that you had were actually involved in that transaction? The sale of...
David Mazzo: No, no, there -- none of them. They're separate transactions.
Peter Enderlin: No, I know. But so that -- the $10.9 million or whatever it was. What...
David Mazzo: That's all NJ NOLs.
Peter Enderlin: Right? But it wasn't all of your NOLs, and you have -- there's a lifetime limit of $15 million of...
David Mazzo: So we have -- Go ahead, Joe.
Joseph Talamo: Yes. So, Pete, what I would say is it wasn't all of our NOLs. We have, as I mentioned, the lifetime cap of participation of $15 million. We've gotten more than 2/3 of the way there. We're hopeful that we can continue to participate in future years. We do have additional NOLs available. And certainly, in 2019, the NOLs that we generate there would also be eligible for sale. So within the next 1 or 2 years, we have enough NOLs that could reach that cap. But again, that's subject to our continued eligibility in the program. And the way New Jersey, the NOL program is worked there, it's a portion based on how many companies apply. So we feel pretty confident that we'll be able to continue to participate in future years and reach that cap.
Peter Enderlin: On the Phase IIb, I guess, that you want to start in the fall for CLBS16, can you give us any sense of the size of the cost of that thing?
David Mazzo: Yes. I'll give some general parameters. I mean, we will be announcing the exact details of the study once we're ready to get started. And that will be published on clinicaltrials.gov. But we're looking at a trial that will probably encompass somewhere around 100 patients overall. It'll be randomized and double-blinded controlled trial. And the total cost is going to be somewhere in the range of $12 million to $18 million. So the range I'm giving you is purposely broad because we're still in negotiations with our CROs and also because there are a number of potential collaborations that could help offset some of the costs, but that gives you at least an order of magnitude.
Peter Enderlin: Yes, that's very helpful. And congratulations on everything you've been able to accomplish, especially without spending any more money. It seems like you're doing a great job.
David Mazzo: Thank you, Pete.
Operator: [Operator Instructions]. And your next question comes from Jason Kolbert.
Unidentified Analyst: My name is Benjamin, and I'm asking questions on behalf of Jason Kolbert. I have two questions, one on the science side and one on the financial side. My first question is for Dr. Losordo. Please help me understand why the CD34+ cell is going to be successful in the cytokine immunological storm of COVID? And put this into perspective with the other three companies.
Douglas Losordo: Sure. Thanks for that question. I can't speak to what the other companies are doing, but I can tell you, in great detail, about the rationale for this -- the use of the CD34 cell. As you probably know, the CD34 cell is a naturally occurring vascular repair progenitor cell. So it's in our bodies to repair, restore and maintain the microcirculation throughout the body, which explains why we're targeting different diseases in different tissues. The approach to patients with COVID lung damage is really an outgrowth of that well-established repair capability. One of the aspects of the CD34 is biology is that it is also an anti-inflammatory cell and attenuates hyperimmune situation that's been well shown in preclinical models as well.So you have a combination of the cell that is both capable of attenuating hyper immunity in inflamed tissues. And also capable with a very well documented track record of human studies of improving microcirculatory function and replenishing damage microcirculation. You may know from embryology that when organs are formed initially, the vasculature is often the first thing that has created and the parenchyma of the tissue, the functioning part of the tissue, forms around the nascent vasculature. There is data from preclinical models that, that same process that is a -- the formation of a vasculature can stimulate and maintain the regeneration of damaged tissue has been shown. And it's been shown specifically in the lung. So there are several lines of evidence that would support the rationale of using CD34 cells to repair the damage after a severe bout of COVID-19.
Unidentified Analyst: And my second question is for Mr. Talamo. I understand that you guys have cash and $10 million in tax credit. Help me understand your decision to raise $5 million in capital by selling warrants and stock to fast money institutions? What message does that send to people?
David Mazzo: Right. So before Joe answers that question, I want to jump in here and say something. The characterization of the new investors as fast money institutions is your characterization, not ours. So I don't know if that's an appropriate use or appropriate adjective for our new shareholders, but that's your opinion, not ours. And secondly, I think I've already addressed very specifically why we think it was actually a very smart thing to collect new capital when it was offered in an environment where capital is very sparse and where most of the pandits are predicting that the capital markets are going to become more restricted, and it's going to become more difficult, not easier to find capital. So that's my statement to that, but I appreciate if we could avoid the purgative comments about some of our new shareholders. And then, Joe, if you could go ahead and respond, if you'd like to as well.
Joseph Talamo: Yes. Dave, I think you covered it. We addressed it earlier. We think the additional $5 million that we brought in were in -- brought in favorable terms and it brought in additional shareholders to Caladrius. So all in all, we think it was a wise move to execute that transaction.
Operator: And this concludes the question-and-answer portion of the presentation. And now I will turn the call back to Dr. Mazzo for closing remarks.
David Mazzo: Again, thank you all for participating on today's call. We look forward to speaking with you again during our next quarterly conference call and to continuing to bring you news of our achievements and progress. We remain grateful for your continued interest in and support of Caladrius Biosciences and please stay well, and have a good evening. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.